Operator: Greetings. Welcome to Kornit Digital Limited First Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. Please note, this conference is being recorded. I would now turn the conference over to your host, Monica Gould Investor Relations for Kornit Digital. You may begin.
Monica Gould: Thank you, operator. Good morning everyone and welcome to Kornit Digital's first quarter 2021 earnings conference call. Before we begin, I would like to remind you that forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and other U.S. Securities laws will be made on this call. These forward-looking statements include but are not limited to statements relating to the company's objectives, plans, strategies, statements of preliminary or projected results of operations or our financial condition and all statements that address activities, events or developments that the company intends, expects, projects, believes or anticipates will or may occur in the future. Forward-looking statements are subject to known and unknown risks and uncertainties and are based potentially on inaccurate assumptions that could cause results to differ materially from those expected or implied by the forward-looking statements. The company's actual results could differ materially from those anticipated for many reasons and I encourage you to review the company's filings with the Securities and Exchange Commission, including the company's annual report on Form 20-F, filed at March 25, 2021, which identifies specific risk factors that may cause actual results or events to differ materially. Any forward-looking statements are made as of this call hereof and the company undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law. Additionally, the company will be making reference to certain non-GAAP financial measures on this call. The reconciliation of these non-GAAP measures to the most directly comparable GAAP measures can be found in the company's earnings release published today, which is posted on the company's Investor Relations website. I will now turn the call over to Ronen Samuel, Kornit's Chief Executive Officer and Alon  Rozner, Kornit's Chief Financial Officer. At this time, I would now like to turn the call over to Ronen. 
Ronen Samuel: Thank you, Monica and thank you all for joining us this evening on our earning call. I'm excited to share with you a strong start to the year an outstanding first quarter results. We significantly exceeded our guidance on top line and profitability and our outlook for the year is very strong.  As the world moves into the post-pandemic era, the textile industry is in desperate need to accelerate its digital formation and mass adoption of digital sustainable on demand production. The business opportunity ahead of us is enormous. And we are laser focused on introducing continuous innovation and scaling our business on all fronts. Our first quarter results are another steps on our path to become a 500 million revenue run rate business ahead of plan. Total revenue increased by 152% year-over-year to 66.1 million net of 3.1 million in warrants related to a global strategic account. We experienced another record quarter of shipments for mass production systems spread headed by the Atlas and the Presto. Our recurring consumable business continue to scale and we continue to outperform our profitability goals on services. During the second half of the last year we discuss engagements on major global expansion projects with multiple strategic accounts which we are now rolling out. In March we announced that Printful will purchase more than 50 Atlas systems during 2021 as part of its global expansion plan and the rollout began this quarter. As an early adopter of Kornit technology Printful has grown from a small print operation in their merging customers design segments to become a global leader in taking digital creative concepts and making them real. Their growth demonstrates the overwhelming potential of digital transformation by creating a mega marketplace that empowers digital natives to conceive and scale the brands. We are proud to help Printful reach the next stage of their journey. We are witnessing parallel expansion goals across our key and strategic accounts. As an example, we expanded our partnership with a leading supplier of licensed and private label apparel which produces uniquely designed clothing for some of the largest gaming license to TV studios and mega retailers in the world. And they are experiencing tremendous growth. This supplier added eight new Atlas systems to its fleet this quarter, and expects continued goals in the coming years. As for our global strategic account, the execution remains very strong as we move into accelerated implementation phase of their ambitious global expansion plans. We delivered a record number of Presto systems in the first quarter doubling shipments sequentially from the fourth quarter. Our recurring DTF consumable business is almost tripled from the fourth quarter and we're very encouraged by this momentum as we continue to build Kornit brand recognition in the heart of the fashion and home decor industries. The Kornit of this fashion week was a tremendous success. More than 40 designers showcased how diversity and individual expression can be enriched and celebrated hand in hand with a vision of a more sustainable world. While the event was focused primarily on building awareness, the business momentum this event created is remarkable and we look forward to the global rollout of this initiative in top fashion capitals globally.  Last week, we shared our exciting partnership with mega online brand and retailer ASOS and its suppliers fashion enter UK as part of ASOS fashion with integrity corporate goal. As part of this partnership, joint teams are implementing Kornit end to end workflow enable micro factory to react quickly to seasonal shift in demand and establish more efficient, low impact sustainable production process. We expect this partnership to expand into a mega online brand. Scaling of our new software workflow business line is progressing very well and we are engaged in strategic activity with brand licensed [indiscernible] mega online marketplaces, existing fulfill orders, and net new logos of all sizes looking to leverage our unique cloud based software workflow platform to adopt a digital native supply chain for on demand textile production at a global scale as well as automate the production flow. In Q1 we significantly over-achieved our internal targets for new and existing Kornit customer adopting our workflow solutions. And our pipeline continues to grow as customer of all sizes embrace the strategic value of our offering. Two weeks ago, we made our first strategic new product announcement of the year with the launch of our Max technology, which establishes a new standard of on demand fashion and apparel production. The Max technology delivers unparalleled retail quality combined with our revolutionary XDi 3d printing capabilities for new high density graphic decoration that can replace embroidery, vinyl and heat transfer analog process in a single waste-free digital process. We also introduce our new patent pending robotic automation technology to significantly ease the burden of manual labor and increase the productivity. The Max technology dramatically expands the reach of digital on demand textile production into the center of mainstream fashion and apparel and significantly expands our addressable market into lucrative segments, like professional team sports, high end athleisure and diverse categories of fashion wear. The first product from the Max line is the carbon neutral Atlas marks which is commercially available with deliveries starting in June and initial revenue contribution anticipated in the second half of the year. The Atlas marks is delivered with the new XDi 3D technology built in an upgrade to the Kornit Atlas systems will be available during the first quarter of 2022. This is just the beginning of revolutionary future new products coming from the Max line which will unlock additional massive and exciting market segments for Kornit. In summary, with an exceptional start to the year in our backlog continues to grow. In our last quarterly earnings call, we discussed that we expect to see significant sequential growth from the first quarter of the year. So each of the subsequent quarters, we now believe we can deliver a stronger sequential growth in the subsequent quarters than we originally anticipated. Before I turn the call over to Alon, I would like to personally invite all of you to join us next week for a virtual investor event in which we will share additional highlights of our strategy, execution plans, goals for our software work for business line in our longer term financial goals. Kornit is in a remarkable position and I am more confident than ever in our value proposition, our leadership position and our dedicated people. I look forward to seeing all of you virtually next week. Now I will turn the call over to Alon for a closer look to our numbers and our guidance. Alon?
Alon Rozner: Thanks Ronen and good morning everyone. Before beginning the financial overview, I would like to remind you that the following discussion will include GAAP financial measures as well as non-GAAP results. A full reconciliation of our results on a GAAP to non-GAAP basis is available in the earnings press release issued earlier today and on the investor section of our website. Now let's dive into the financials. We are very pleased with our strong first quarter results which once again exceeded our guidance on the top line and profitability. First quarter revenue increased 152.3% year-over-year to $66.1 million net of $3.1 million non-cash warrants impact and was well ahead of our guidance of $61 million to $65 million, excluding the impact of warrants. Our first quarter results were driven by record achievement of our mass production DTG and DTF systems and execution of major global expansion projects with multiple strategic accounts. Services revenue for the first quarter was $8.2 million net of non-cash warrants impact of approximately $0.3 million accounting for 12.4% of total revenue an increase of 113.8% year-over-year. The first quarter was strong in the Americas with revenue more than doubling from the first quarter of last year and accounting for 68.3% of total revenue. Revenue from EMEA accounted for 23.7% of revenue and more than tripled from the first quarter of 2020. While Asia-Pacific continues to experience COVID related travel limitations we are pleased with the rebound in sales which accounted for 8% of revenue and more than doubled from the first quarter of last year. In the first quarter we had two customers that contributed more than 10% of total revenue. And our top 10 customers accounted for 61.6% of total revenue. Moving to profitability. Non-GAAP gross margin in the quarter net of warrants impact rose to 47.1% and improvement of over 14 percentage points year-over-year. On a GAAP basis, gross margin in the quarter was 46%, and improvement of 15 percentage points year-over-year. Our first quarter gross margin expansion is attributed to significantly higher mix of mass production systems and continued acceleration of services profitability. Moving to our OpEx items. I will discuss these items on a non-GAAP basis. We continue to invest in the business to accelerate growth. Each of the following line items reflect headcount additions and investments supporting the growth opportunities ahead of us. Research and Development expenses were 8.9 million or 13.5% of revenue compared to 6.1 million or 23.4% of revenue in the first quarter of 2020. The increase in R&D is a result of the accelerated investment in new products, innovative applications and use of materials. Sales and marketing expenses in the quarter were 9.9 million, or 14.9% of revenue, compared to 7.7 million or 29.4% of revenue in the first quarter of 2020. We continue to invest in expanding our go to market capabilities, marketing and brand awareness programs, and customer facing activities. General and administrative expenses in the first quarter were 5.8 million or 8.8% of revenue, compared to 5.3 million, or 20.3% of revenue in the first quarter of 2020. The mild increase in G&A cost is mainly related to additional headcount, professional services, and facilities expenses, and is a reflection of tight budget control and continued operational leverage as we scale our infrastructure. We ended the quarter with 700 employees a year-over-year increase of 135 employees from the first quarter of last year and an increase of 28 employees compared to the previous quarter. For the remainder of 2021 we will continue to invest in growing the organization to support our business, mainly in R&D and sales and marketing. Non-GAAP net profit for the first quarter was 7.7 million, or $0.16 per share on a fully diluted basis compared to a loss of 8.9 million, or $0.22 per basic share in the first quarter of 2020. first quarter GAAP to net profit was 5.1 million or $0.11 per share on a fully diluted basis compared to a loss of 10.1 million or $0.25 per basic share for the first quarter of 2020. Adjusted EBITDA for the first quarter of 2021 was 10.8 million compared to negative adjusted EBITDA of 9.2 million in the first quarter of 2020. Net cash provided by operating activities was 5.1 million this quarter compared to net cash used in operating activities of 13.1 million in the first quarter of 2020. We ended the quarter with strong backlogs including 23.7 million of deferred revenue and customer advances. We continue to expect the deferred revenue balance to convert to revenue in 2021. Our cash balance including bank deposits and marketable securities at quarter end was 438.7 million compared to 435.9 million as of December 31, 2020. Turning to our view on the second quarter of 2021. As Ronen discussed we continue to execute on large global expansion projects with strategic customers and ended the first quarter with a strong backlog and great momentum in the business. We plan to continue investing in scaling our go to market and technology roadmap to capitalize on the massive opportunities ahead of us. For the second quarter of 2021 we expect revenue to be in the range of 76 million to 80 million and non-GAAP operating income to be in the range of 11.5% to 13.5% of revenue. It has been our practice in the past these numbers assume no impact of the fair value of issued warrants in the quarter. In summary we are very proud of our Q1 results as we continue to execute on our strategy and are very confident in our ability to meet our 500 million run rate goal ahead of plant. We invite you to attend our virtual investor event next week where I will share more insight into our long term growth plans and I look forward to seeing you all there.  I will now turn the call back to Ronen.
Ronen Samuel: Thank you Alon. With that, we are ready to open the call for questions. 
Operator: At this time, we will be conducting a question and answer session. [Operator Instructions] Our first question is from Jim Suva with Citigroup Investment Research. Please proceed with your question. 
Jim Suva: Thank you, and congratulations on really strong results and a good outlook. As the world starts to kind of hopefully get back to some type of post-COVID normalcy in the countries that say are ahead of some of the larger countries those that are larger on site more ahead of the timeline recovery the pandemic of the United States, whether it be Israel or certain parts of Europe, can you talk about the behavior of your customers in those regions? Are they phasing in production? Are they doing older machines and using more ink consumption? Are they looking at newer solutions and your workflow processes? I'm just kind of wondering because it seems like Israel has gotten the higher vaccination rates than the U.S. What the trends have been there versus say pre-pandemic actions? Thank you.
Ronen Samuel: Yes. Thank you Jim . Great question. I actually will refer more into North America where majority of our customers and revenues coming from and where they'll also advance in terms of vaccinations what we hear from our customers so for the last one and a half years or one year after the pandemic hit us they see a peak season. They see a huge demand coming both from a licensed ASOS from a retail, from brands directly to them. In terms of the workflow, we are working very closely with our customers, the fulfiller, but also with brands and licensed ASOS and retails to connect between them. The trends in the market is moving into own demand production, onshore or nearshore production to demand production to order leveraging Kornit technology and our fulfillers, Kornit introduce the custom gateway solution a few months back. We see great traction, both within our installed base fulfillers and also with retails and licenses ASOS and brands, as I mentioned that looking to change the supply chain into on demand manufacturing leveraging this workflow.
Jim Suva: Great. Thank you so much. And I appreciate it. And congratulations. 
Ronen Samuel: Thank you.
Alon Rozner: Thank you.
Operator: Our next question is from Rod Hall with Goldman Sachs. Please proceed with your question.
Rod Hall: Yes, hi, guys. Thanks for the question. I wanted to check a couple of things. First of all, are you able to give us a book to build number? It sounds like the backlog is really high. But I was just curious how high? And then I also wanted to on Printful just check the I mean, that's a lot of systems they're taking. I'm curious what you think the outlook for demand there is for systems? That sounds like it could be very substantial. So just wondering if you could talk a little bit more about Printful? Thanks. 
Ronen Samuel: Yes. So in terms of the backlog, we are not specifying the level of backlog we have. We specify specifically the deferred revenue that we have. The only thing I can mention that the backlog is growing. And it's in its peak, ever, in terms of backlog of orders, we have strong-strong visibility for the entire year. And we are building a backlog already for 2022. In terms of Printful as they mentioned, we are working from the beginning, when they had two employees [nine years] and we were going together from Latvia, to the U.S. to Barcelona and other parts of the world, Canada and Mexico and many other parts. And they're growing tremendously. They're very successful and adding capacity. As we mentioned, they acquired the purchase 50 Atlas systems. We are in the implementation phase. We just started it in Q1, but you will see the implementation going for the entire 2021 and we will believe that this is just the beginning of continue growth for Printful.
Rod Hall: Okay, and then I just wanted to double check something with you on the polypro technology. I think that you're calling it the Max printer. But I just curious on the supplies there. Are those supplies, the same sort of value and margin of other supplies? Are there anything special about that? And it seems like it could be a little bit different supplies story as you start to roll those printers out in. Are you still on, just double checking, you're still on track for kind of this summer for beginning to ship those systems. Thanks.
Ronen Samuel: Yes. So as for the Max technology, we are going to roll the Max technology to different platforms. We announced that first order, which is the Atlas Max, and the next week on our conference calls -- our investor conference call we are going to share a bit more information on the future products that we are going to unveil within them as you mentioned is the poly, we are going to bring the Max technology into the poly leveraging also the Atlas platform. This will be a breakthrough technology. I don't want to share more information about it because I would like to leave some of it for next week. Yes, in terms of the consumable, this is totally different consumable. The value proposition and the value added that we are bringing to the market is immense. We actually going to transform the market totally from analog to digital leveraging our technology. And for that we believe we can gain better margin both on the system side, on the ink and also on the workflow.
Rod Hall: Okay, great. Thanks a lot.
Ronen Samuel: Thank you. 
Operator: Our next question is from Brian Drab with William Blair. Please proceed with your question.
Brian Drab: Hi, good morning. Thanks for taking my questions. You mentioned during the prepared remarks that and I'm listening to two different calls at the same time. So I apologize if I didn't hear clearly. You said sequential growth throughout 2021 in terms of revenue, I think is going to be better than you originally expected. Can you put a finer point on that? And what were you originally expecting? Can you remind us what you said? And what does that means for the year I guess your guidance for second quarter is $76 million to $80 million. So we're looking for something well north of that, I guess, in the back half of the year is the quarterly run rate.
A – Speaker: Yes. Brian So as you know, we are guiding is only one quarter ahead. We are not giving a annual guidance. The statements that we are mentioning is that from the beginning and we mentioned that there's going to be a very strong year. We had a very strong backlog for the order, also from bigger budget with strategic accounts. Whatever we thought is going to be strong is becoming stronger. So this is the message whatever we thought, but we are not providing guidance for the year at this stage.
Brian Drab: Okay, so you did not say anything about sequential growth from second to third quarter third to fourth?
Ronen Samuel: No, no, I just mentioned we gave the guidance for Q2.
Brian Drab: Okay. All right. Thanks. And then I guess we'll talk about this more next week. But the  gross margin kind of hovering around 50% and I think that your expectation is still longer term for gross margin to move above that level maybe even to the mid or at one point, the goal was to get in the high 50% range. Is that still possible? And can you help kind of break from 50 that's to where you're trying to get to?
Ronen Samuel: Yes, so first of all, again, we were going to relate to it next week. And our long term goals in terms of gross margin Alon is going to share in details where we see ourselves in long term from now. We are committed to close to 50% growth margins we said in the past. What you've seen this quarter usually Q1, in terms of gross margin is the lowest quarter in terms of gross margin due to the mix between supplies to systems usually Q1 supplies revenue is the lowest during the year and the Q4. The seasonality is that the supplies portion is the highest our gross margin supplies is higher than the system. In Q1, this specifically Q1, what you can see as well that we had a very-very strong growth on our system side, which also impact the bit on the gross margin. But you saw the gross margin we are very happy with the gross margin of Q1 versus last year and even when you look in 2019. Alon do you want to add anything?
Alon Rozner: So I think you covered it well. The two main factors that impacting the gross margin are the continuous improvement that we see and we push this business as the quantities go up operational leverage and we plan to continue and increase the gross margin. And the second one is this one I mentioned is the product mix. We had a very high mix towards systems in Q1. And typically the second half of the year is more going towards the consumables where we have higher margins there. 
Brian Drab: Okay, thanks very much, and congrats on the new product introductions in the results. 
Ronen Samuel: Thank you very much Brian.
Alon Rozner: Thank you.
Operator: Our next question is from Patrick Ho with Stifel. Please proceed with your question.
Patrick Ho: Thank you very much and congrats on a nice quarter start of the year. Ronen maybe first off, you delivered really well in terms of systems during the quarter. I mean you talked about the strong backlog you have even given some of the issues out there in your supply chain overall how are you looking at any potential constraints and how are you managing through any of those potential situation, particularly as 2021 progresses? 
Ronen Samuel: Yes, maybe I just want to would like to add something before while the mix between supplies and hardware was tending into systems in Q1, we saw a huge growth from the supplies and actually it was a record quarter in terms of supplies a growth. So we see also a very strong supply growth as for this supply chain and the issue that we all familiar outside there. So first of all, we don't have any availability issues looking forward for this year. There is no significant impact also on cost. We negotiated well in advance with our supplies on course we don't see any significant impact on cost. Of course, there is a pressure on lead time because of availability of goods. But because we had a very good visibility for the entire year and for the order we place the orders with our suppliers well in advance and we don't see any issue with supply chain at this stage. 
Patrick Ho: Great that's helpful. Maybe as my follow up question in terms of gross margins. But maybe looking at it more from the system's perspective you're posting better and better results in terms of the hardware solutions. Can you discuss maybe one aspect of it particularly in the cost out program? As your systems become more mature you're taking costs out at some of your newer products come out. You can take costs out of that. Can you describe some of the costs out efforts that are helping long term gross margins? 
Ronen Samuel: Yes. Of course, there's a cost to both effort on cost cutting and cost leverage economical of scale, and we can see it. But when you are a growth business, like where we are today, we are pushing stronger and stronger on the growth elements, which will impact much more on the gross margin overall. But, of course, our operational teams working day night to improve the cost structure of every element of our solution. Alon anything from your side? 
Alon Rozner: No, I think that I mean, we see very good results on gross margin in systems. Again, Ronen mentioned, we are driving many cost reduction plans within the product and on the supply chain itself. Again quantity is an operational leverage. And we see that we had very good results even when taking into account the mix within the systems between DTF and DPG. 
Patrick Ho: Great, thank you very much. 
Speaker: Thank you. 
A – Speaker: Thank you.
Operator: Our next question is from Jim Ricchiuti with Needham & Company. Please proceed with your question.
Jim Ricchiuti: Hi, thank you. Just want to go back to your comments, Ronen about the acceleration that you're seeing in the business. I mean, it sounds like it's across the board. But what I'm trying to understand is, are there particular areas that are performing exceeding your expectations? I mean, you highlighted a few areas Presto, being stronger, the brands potentially moving faster. Can you give us a little better feel for what in particular are the biggest drivers to the acceleration that you're seeing in the business? 
Ronen Samuel: So Jim great question. As you mentioned, we sit across the board and the drivers is that we were talking about all those market trends for many-many years. People could see the future. The future becomes the presence. Today, people would like to have self expression, e-commerce becoming the main vehicle for self. Consumer would like to have a variety of products. And you need to change the supply chain. You don't want to have inventory. You don't want to get to have waste and to throw 30% of your production because nobody's selling it. To do that you have to move into on demand manufacturing, and we see it both in DTG and DTF. We see it in a workflow business which was designed exactly for that. We see it in the service business. It's growing tremendously and is very profitable now. And as you remember, we promised to be profitable for the first time in Q4. We bought it already in Q3, 2020. And look where we are today. And our supplies in is peak in terms of the growth because we're installing so many systems and our customers are in peak season all the time. So overall we're driving the goals of the mega trends that just now really, in beginning of acceleration, and I believe it will continue for many years to come.
Jim Ricchiuti: Alon maybe as a follow up. This is I think, probably a question for you. It appears obviously based on the Q2 guidance being as strong as it is, you gave clearly operating margin targets that I think were higher than most people were modeling. But as you see this growth accelerating, do we have to think in terms of potentially layering in higher operating expense in the back half of the year? Or do you feel that there is enough of an investment that you've made in customer support, and as well as product development to be able to see this kind of leverage looking at the backup, not looking for specific guidance, but just trying to gauge whether we need to think about higher operating expense levels as the business is scaling?
Ronen Samuel: So we said that we will have leverage all the time and you should see expansion on operating margin as well. Next week Alon is going to share more data long term operating margin that we expect from the business. So we don't want to share more on that call but Alon?
Alon Rozner: Yes. we are keep investing, and we will continue to invest and grow OpEx actually I mean, we have good recruitment plans and mostly in R&D and strengthening the go to market. So we are doing it and we will continue recruiting people and investing across the board also in the remainder of the year.
Jim Ricchiuti: Okay. Thanks a lot. Congrats for the quarter.
Ronen Samuel: And this is, the investment is very important. We just in the beginning of the project we have of Kornit, the market is infinite from our perspective we are only 1% and to capture to grab the market now we need to invest in more people in the field in more R&D and you will see this investment but we are committed to all of you that you will see the leverage into the bottom line.
Jim Ricchiuti: Got it. Thanks again.
Operator: Our next question is from Greg Palm with Craig-Hallum Capital Group. Please proceed with your question.
Greg Palm: Yes, thanks and then I'll add my congrats as well. Maybe just to start off, it'd be I'd be curious to know, can you disclose how many global strategic customers they have at this point? I know, in the past, we've focused on one major lot, and we're talking about the Printful expansion now, but are there others? I mean, presumably, this has been a pretty big driver, but curious how you're thinking about this dynamic? Is more of your customers, sort of shift from regional providers to global ones?
Ronen Samuel: Yes. So let's be clear, and define clearly what we mean by global strategic plan. So we have many global strategic accounts. Okay. And we are not providing any specification of how many, but when we are referring to the global strategic account, this refer to Amazon. Okay. We are not specifying specifically Amazon, but this refers to Amazon, the global strategic account but we see expansion in our strategic account and expanding globally. So Printful is a great example of starting in Europe in Latvia, expanding to Americas, also expanding to Asia and going in every continent.
Greg Palm: Got you. But I guess my question is, is how much of the recent growth has been due to that, due to customers that maybe before were just selling in the Americas, but now they're expanding globally or sort of vice versa. Has that been a big driver? I guess I'm really looking for some kind of commentary kind of going forward as more of those customers branch out globally as well.
Ronen Samuel: Yes. It's becoming a big influence on our growth. We can see it with, as I mentioned,  many of our key accounts, strategic account expanding globally. We will provide a bit more information on that on our call next week.
Greg Palm: Okay great. And then and then notice that the warrant impact for this quarter was unusually high, at least quite a bit higher than the most recent run rate. Is that a direct attribution to higher activity associated with that big global strategic? Are there other variables I know it's impacted by stock price and a bunch of other stuff. So it's just curious.
Ronen Samuel: Yes, the answer is yes. I mean, the warrant at the end of the day are linked to the level of business. And when business goes high, then the warrant goes as well, to the same direction.
Greg Palm: Okay, make sense. All right, thanks so much.
Ronen Samuel: Thank you. 
Alon Rozner: Thanks.
Operator: [Operator Instructions] And our next question is from Chris Moore with CJS Securities. Please proceed with your question.
Chris Moore: Hey, good morning. Yes, just maybe start on ink. So as Presto really gains traction here. Just kind of want to revisit the incubation in DTG versus DTF. How would you compare the typical ink usage in the Atlas versus the Presto and the margins any different?
Ronen Samuel: Yes. The use of ink on the Presto is much higher than the Atlas. We will provide a bit more information on that next week on our call and compare between the two. The margin is different between those markets. The margin on the Presto are lower on the ink versus the Atlas.
Chris Moore: Got it. And just as my follow up, keep on that theme. So you have talked in the past kind of a basic metric is for $1 of system sales you can do $2 follow on consumables and services over the next five years. Does that math, is that math the same for Presto?
Ronen Samuel: For Presto, it is bigger and we will provide more information on that next week.
Chris Moore: All right. Appreciate it. Thanks, Ronen.
Ronen Samuel: Thank you very much.
Operator: Our next question is from Brian Drab from William Blair. Please proceed with your question.
Brian Drab: Hi, Ronen I'm not trying to be difficult, but my email inbox lit up with about six or seven emails, after I asked my first question around sequential growth throughout 2021. I think in your prepared script, at least based on all the clients that are telling me they heard the exact same thing I did that you said, you expected sequential growth throughout 2021 and I just wanted to give you another opportunity to address that given I think it was in the prepared remarks. And not only did you say, sequential growth throughout the year, but I think he said better than accelerating more than previously expected as well. If I just heard that wrong, or we all heard that wrong in the prepared script, I just wanted to make sure we clarify on public call?
Ronen Samuel: No, no. So you probably heard this right, that, as I mentioned that the sequential you will see sequential growth moving forward every quarter which will be higher than what we anticipated before. We didn't share before what we anticipated because we are not guiding for the year regarding only one quarter. So you can see that the guidance for example, for Q2 is probably much higher than what the market expected and also much higher than what we had expected initially for Q2. The same thing we see right now for Q3 and 4 which would be higher than what we anticipated when we enter to the year.
Brian Drab: Okay and are we saying though, that we expect sequential growth from the second quarter to the third quarter or that I guess that seems obvious, but I just want to make sure that I'm getting correctly. You wouldn't expect that third quarter or fourth quarter would be down as we moved through the year sequentially, would you?
Ronen Samuel: I would say like this. Again, we are not providing guidance for the year, but you should assume the H2 will be higher than H1.
Brian Drab: Yes. Okay. Thanks for clarifying that. Appreciate it.
Ronen Samuel: Thank you. 
Operator: And we have reached the end of the question and answer session. I will now turn the call over to CEO Ronen Samuel of Kornit for closing remarks.
Ronen Samuel: So I want to thank everyone for joining us this morning. We are very pleased with our first quarter results which exceeded our expectation for top line growth and profitability. We believe that the remainder of 2021 will be no less exciting for Kornit. We look forward to sharing our strategy, execution plans and groundbreaking innovation at our upcoming investor event and hope to see many of you virtually next week. Thank you very much.
Operator: And this concludes today's conference and you may disconnect your lines.